Operator: Good morning, everyone, and welcome to the NexTier Oilfield Solutions Third Quarter 2022 Conference Call. As a reminder, today's call is being recorded. At this time, all participants are in a listen-only mode, and a brief question-and-answer session will follow the formal presentation. For opening remarks and introductions, I'd like to turn the call over to Mike Sabella, Vice President of Investor Relations for NexTier. Please go ahead, sir.
Mike Sabella: Thank you, operator. Good morning, and welcome to the NexTier Oilfield Solutions earnings conference call to discuss our third quarter 2022 results. With me today are Robert Drummond, President and Chief Executive Officer; Kenneth Pucheu, Chief Financial Officer; and Kevin McDonald, Chief Administrative Officer and General Counsel. Before we get started, I would like to direct your attention to the forward-looking statements disclaimer contained in the news release that we issued yesterday afternoon, which is currently posted in the Investor Relations section of the company's website. Our call this morning includes statements that speak to the company's expectations, outlook or predictions of the future, which are considered forward-looking statements. These forward-looking statements are subject to risks and uncertainties, many of which are beyond the company's control, which could cause our actual results to differ materially from those expressed in or implied by these statements. We undertake no obligation to revise or update publicly any forward-looking statements except as may be required under applicable securities laws. We refer you to NexTier's disclosures regarding risk factors and forward-looking statements in our annual report on Form 10-K, subsequently filed quarterly reports on Form 10-Q and other Securities and Exchange Commission filings. Additionally, our comments today also include non-GAAP financial measures. Additional details and a reconciliation to the most directly comparable GAAP financial measures are included in our earnings release for the third quarter of 2022, which is posted on our website. With that, I will turn the call over to Robert Drummond, Chief Executive Officer of NexTier.
Robert Drummond: Thank you, Mike, and thanks to everyone for joining the call. The outlook for U.S. land well completion activity remains bullish. We have been saying for some time now that we believe the availability of frac fleets is one of the primary bottlenecks restricting U.S. land production growth, and we have increasing conviction that this will remain the case for at least the next 18 months. Industry dynamics have created a favorable pricing environment for our services throughout this year. We have secured higher net pricing for 2023 with pricing still 10% to 15% below pre-COVID levels even after accounting for the latest round of negotiations. We continue to believe that demand for our services will outpace supply and we were encouraged by what we saw even before the recent OPEC production cuts, including through the Q3 commodity volatility. Global oil production will need to increase if society is to compare the current inflationary epidemic and U.S. shale should play a big role. But there is a growing consensus that U.S. shale oil production will increase less than 1 million barrels per day by the end of 2023, well below the I's [ph] estimated liquids demand growth of more than 1.5 million barrels per day over the same period. Further, we think there is risk that U.S. shale oil production could disappoint to the downside. Most analysts see industry frac fleet new builds in the low to mid-20s through the end of 2023, and we agree with that number. However, when considering where the total active fleet count is headed, we do not believe that the impact from the supply chain are fully understood, even with the new build capacity come into the market, with fleet attrition and continued supply chain issues, we think the active fleet count availability will struggle to grow materially from the 270 fleets operating today. A significant portion of the legacy fleet was not built to withstand the intensity of the modern frac job. Maintaining this older equipment puts a huge stress on an already overburdened supply chain. Many believe attrition will be minimal given improved returns, but we believe attrition could actually be greater than normal considering the current supply chain challenges. Simply put, the frac bottleneck, coupled with shale E&P's current business plans that favor capital discipline and cash returns to shareholders over production growth will restrict shale's ability to fully deliver through next year at least. And this should set next year up for a very favorable multiyear outlook. But while the multiyear outlook has arguably never been better for U.S. land well completion fundamentals, there are clear recessionary signals in the broader economy. And this brings obvious fears to some that near-term oil demand will succumb to macro pressures. An industry slowdown is not our base case. And given the extreme tightness that currently exists in frac even in a recession, we would expect relatively favorable U.S. frac supply demand dynamics in 2023. Further, for next year, we believe our strong downside protection would position us to continue to create value for our shareholders. On the operations front, the tightness in the frac market this year has allowed us to enhance our commercial terms such as by requiring minimum pump hours and securing multiple integrated services. We have used the tightness in the frac market this year to create sticky partnerships that should limit downside potential and serve well at all points in the cycle. And our industry-leading fleet of natural gas-powered equipment carries a premium in the market and should remain active in almost any scenario due to the significant fuel cost advantage that natural gas provides. On the financial side, our balance sheet is very strong with a clear path to net debt zero in 2023, no term loan maturities until 2025 and strong liquidity of more than $620 million. This balance sheet strength will afford us opportunities to put capital to work at very high returns, including executing on our plan to return at least $250 million to shareholders between now and the end of 2023. We will continue to run our company with a long-term vision in mind. We believe we are well positioned to balance downside risk with upside potential and that we have one of the most favorable risk reward profiles in the industry. Now to our third quarter results. It was another record quarter for NexTier, both in adjusted net income per share and adjusted EBITDA beating the record that we set last quarter. Adjusted net income of $130 million improved 31% from the prior quarter record and was 14% of revenue. Our adjusted net income per diluted share was $0.52. Total revenue of $896 million was up 6% sequentially, marking the sixth consecutive quarter of market beating growth and was more than double our revenue from the same quarter last year. We achieved another quarter of growth despite dropping one fleet due to a fire during the quarter. Without the impact from the fire, our results would have been even stronger. I do want to highlight that our well site integration strategy again gained market share and continues to add value for our investors and our customers. We did not deploy any additional horsepower in Q3. We were able to secure replacement pumps from a very limited supplier inventory for the portion of the fleet we lost to a fire and have deployed those pumps in Q4. Our adjusted EBITDA of $195 million was up 17% sequentially, inclusive of a $10 million gain on sale of assets, mostly from the divestiture of Coil Tubing. Importantly, we are delivering on our commitment to generate free cash flow early in the cycle. Our free cash flow generation accelerated totaling $133 million in Q3. We still expect to see substantial free cash flow this year and even stronger free cash flow in 2023. Demand remains strong for our services and the U.S. land frac market is still sold out in Q4. We've already negotiated further net pricing improvements for 2023 and what will likely remain a sold-out market. It is important to remember that even after the latest round of price negotiations, net pricing for our services is still 10% to 15% below where it was pre-COVID even with current record high utilization. Given what we see as a tight supply for frac equipment for the foreseeable future, we continue to see a path to recapture all of the pricing concessions made during the prior downturn. Even as the cycle got this momentum, we want to be very clear that capital discipline and a focus on shareholder returns is a top consideration for every decision that we make. It is clear to us that last cycle's playbook did not work, and we do not intend to repeat the growth at all cost strategy the industry has taken in prior cycles. We will significantly exceed our initial 2022 free cash flow guidelines as our operations outperformed. This gives us the means to deliver on our $250 million shareholder return program. This program is 9% of our market cap at the close of the market last night. We believe that our stock valuation is not reflective of our fundamental outlook and by investing in ourselves, we will look to capture some of the value for our shareholders. But the shareholder return program is just one part of a broader capital allocation strategy that we believe will maximize value for our shareholders through the cycle. The strategy is supported by two main pillars. First is maintaining our strong balance sheet, a clear path to net debt zero is one of our key financial priorities which gives us the best ability to be nimble and opportunistic at every point in the cycle. We intend to finish reaching this goal in 2023, and we will execute on our capital allocation strategy within the cash flow that we generate. The second pillar is commitment to invest in our business and to remain a top-tier U.S. land completion services company for the long term. For next year, we are targeting a CapEx range of 8% to 9% of revenue through the cycle, an amount sufficient to maintain our existing - our existing fleet and fund the transition to natural gas powered and electric equipment, responsibly and over time. This budget also allocates capital to well site integration as we look to fully capture this value creation opportunity. Roughly two thirds of our CapEx budget will target the maintenance and transformation of our fleet. We assume $4 million per fleet in maintenance for frac, plus maintenance for our other service lines. This bucket also includes investments in natural gas-powered fleets including electric fleets, sufficient for us to maintain our market share and transition to fully natural gas powered over time. We expect to maintain a market-leading position in natural gas-powered equipment and importantly, we will remain disciplined without organically growing our frac market share. Roughly one third of our budget will be allocated to expanding our well site integration platform and to fund high-return internal projects. This bucket includes an investment to fund the next phase of our Power Solutions business, investments to further enhance our successful last mile logistics platform, and upgrades to ancillary frac equipment. An example of high-return ancillary upgrades is our plan to upgrade to next-generation blenders that reduce non-productive time for frac fleet and lower cost, while better withstanding the intensity of the current frac environment. For these investments, we see the potential for returns that are significantly accretive to the overall business, and we target threshold economics at less than two year payback. These investments will not be adding frac capacity to the market, while still delivering strong returns and growth for our investors. For 2023, our CapEx budget is $350 million. Our dedication to invest in our business demonstrates our conviction in our industry and the cycle over the long term, while owning our commitment to capital discipline. These pillars support what we believe is a sustainable free cash flow profile. We will use our free cash flow to support the investment thesis for our business in two ways. The first is through shareholder returns. Alongside our Q3 earnings, we have initiated a $250 million share buyback program totaling 9% of our market cap as of the close of the market yesterday, and we plan to return at least $250 million to shareholders through the end of 2023. We believe that returning at least half of our expected annual free cash flow to investors improves the investment thesis for us and our industry. We will retain flexibility for the remainder of the free cash flow. We see potential high-return M&A targets that could create substantial value for our shareholders. Our track record demonstrates that M&A is a core competency for our company, but we will remain diligent and if we do not find attractive M&A targets, we could instead choose to further increase our shareholder return program. We are in a very strong position and we're committed to maximizing the value of every dollar of capital in all phases of market cycles to create a sustainable capital allocation program. We believe we have the ability to execute on this capital allocation strategy, while also strengthening the business operationally and financially. The past cycle OFS playbu [ph] did not work. And we believe this path better serve the company and our shareholders. While organic frac market share growth is not a priority, we do continue to see significant opportunities to grow our footprint and integrated services and create additional value for both our investors and customers. A recent example that demonstrates our ability to execute on accretive opportunities for our shareholders is our CIG Logistics asset acquisition, where we expanded our last mile logistics capabilities at an attractive price. This investment should have a payback of less than 1.5 years and is precisely the type of transaction that we will target as we build out our well site integration strategy. Since we closed the acquisition, we've executed on our integration planning. We have rebranded our last-mile logistics business as next mile and gained significant traction. We have already increased the base of activity by 50% since the time of acquisition. We have line of sight to full utilization of these assets by early next year. So far, the system capabilities have outperformed our expectations. Our proprietary sand haul traders have a higher average payload compared to a typical system, which could result in over 5,000 fewer truckloads of profit - per frac fleet per year. For perspective, this can mean over 350,000 fewer truck miles driven and more than 70,000 fewer gallons of diesel consumed per year for every system that we deploy. Not only is there an opportunity to capture strong returns on this superior technology, but it means less drivers on the road, a safer environment and a step change in lower diesel consumption and emissions. Combined with our NexHub logistics control tower, which optimizes driver locations and routes, we think we have created a market-leading last mile logistics and profit management platform. We have a strong conviction that capital discipline will be the winning formula in this cycle. We invested counter cyclically back in 2021 to put us in this position to take advantage of the 2023 opportunities, while spending less CapEx than our peers. This plan is working even better than we expected and will be apparent in our 2023 free cash flow generation, where we will benefit from improved pricing, increased pumping hours per fleet, well site integration and schedule efficiency associated with new customer partners. We believe that this cycle is only just getting started and that we are positioned to benefit with less CapEx investment than most competitors, allowing us to reward our shareholders. I will now pass the call over to Kenny to discuss our third quarter results in more detail.
Kenneth Pucheu: Thanks, Robert. Third quarter revenue totaled $896 million compared to $843 million in the second quarter. Sequential revenue increased 6%. Growth continued during the quarter even as we deployed less average horsepower after we dropped one deployed fleet due to a fire. Revenue improved in our Completion segment, while the well Construction and Intervention Services segment revenue saw the impact from the sale of our Coil Tubing assets. Total third quarter adjusted EBITDA was $195 million, including a $10 million gain on the sale of assets, mostly associated with the gain on the sale of Coil Tubing. This adjusted EBITDA result improved from $166 million in Q2 as a result of the following factors. First, during the quarter, we benefited from additional net pricing. Second, Q3 strengthened from an efficiency perspective with fewer weather and commercial disruptions relative to Q2, even as we dealt with supply chain bottlenecks in the summer heat. Third, we had another strong quarter penetrating well site integration services. We had a full quarter run rate from our last Power Solutions rollout. Our last mile logistics business continues to grow. We're having success growing our Wireline franchise. Lastly, as an offset to the aforementioned sequential gains, we had a fire in one of our Simul frac fleets, which damaged a portion of the fleet. This impact, in addition to the carrying costs and reactivation of the fleet that has gone back to work in Q4 impacted results by approximately $5 million to $6 million in the quarter. We were pleased with the team's ability to redeploy the fleet, including a repair, refurbishment and sourcing the replacement horsepower in a very tight supplied market. The redeployed horsepower will be reimbursed by insurance proceeds in Q4. In our Completion Services segment, third quarter revenue totaled $858 million compared to $801 million in the second quarter, a sequential increase of approximately 7%. Completion Services segment adjusted gross profit totaled $206 million compared to $185 million in the second quarter. In our well Construction and Intervention Services segment, third quarter revenue totaled $38 million, a decrease of 9% compared to $42 million in the second quarter. Adjusted gross profit totaled $8 million. The modest decrease in revenue and profitability was entirely due to the sale of our Coil Tubing assets as our cement business saw improvement relative to Q2. Third quarter selling, general and administrative expense totaled $37 million compared to $36 million in the second quarter. Excluding management net adjustments of $8 million, adjusted SG&A expense totaled $29 million, which was unchanged as a percentage of revenue from the prior quarter. EBITDA for the third quarter was $170 million. When excluding management net adjustments of $25 million, adjusted EBITDA for the third quarter was $195 million. Management adjustments include $7 million in stock comp with other items totaling a net of $18 million, which are nonrecurring in nature. Approximately $18 million of total net management adjustments were cash related. Included in the management adjustments is a $28 million accrual related to the earn-out associated with the last year's acquisition of Alamo. This accrual is a function of the continued success of the Alamo acquisition. The entire NexTier franchise has far outpaced our initial 2022 financial expectations and Alamo has contributed ratably to the success, as the market environment has improved. Reflecting on what we underwrote the Alamo deal on in Q3 of 2021, even when considering the earn-out consideration, the deal multiple is now even more attractive, and we are very pleased with the outcome of the acquisition and the performance of the combined team. Now on the balance sheet. We exited the third quarter with $250 million in cash, up from $158 million at the end of the second quarter. We exited the third quarter with total available liquidity of approximately $622 million, an improvement from $492 million in the prior quarter. Our liquidity was comprised of cash of $250 million and $372 million available on our asset-based credit facility, which remains undrawn. Total debt at the end of the third quarter was $365 million, net of debt discounts and deferred finance costs and excluding finance lease obligations. We have no near-term maturities on our term loan. Net debt at the end of the third quarter was approximately $115 million, a decrease from $210 million at the end of the second quarter. Cash flow from operating activities was $164 million for the quarter, which, as expected, was a strong increase from Q2. We saw improved profitability, and we continue to aggressively manage our working capital even as we continue to see top line growth. Our cash used in investing activities was $31 million during the third quarter, excluding the $27 million in cash used in acquisitions mostly from the purchase of CIG's last-mile logistics business. CapEx totaled $59 million, mostly driven by maintenance CapEx, Tier 4 dual fuel upgrades and investments in our rapidly expanding Power Solutions business. None of our CapEx added frac capacity to the market. We collected $27 million in proceeds from asset sales, most of which was from the sale of our Coil Tubing assets. This resulted in overall positive free cash flow of $133 million for the third quarter, which accelerated from the first half, as we had previously guided. Now on the outlook. We continue to see very strong customer demand through year-end and into 2023. Our frac calendar is booked in Q4. That being said, Q4 seasonality, including unpredictable holiday slowdowns can create an uncertain quarterly outlook. For the fourth quarter, we expect total revenue will be down slightly at 2% to 4% sequentially. We expect another strong quarter of profitability and free cash flow to exit the year. Year-to-date, at Q3, capital expenditures have totaled $146 million including $59 million in Q3. During Q4, we anticipate a CapEx budget of $75 million to $85 million. With the budgeted Q4 capital spend and expected continued strong profitability, we reiterate our commitment to surpass free cash flow of at least $225 million in 2022. As we alluded to on the last call, the additional budget includes CapEx to finance strategic orders to bolster frac maintenance major components inventory required to ensure our fleet is operating at full capability. We cannot risk increase downtime and we'll use our size and balance sheet to ensure we are as efficient as possible next year. Q4 CapEx also includes $18 million to replace the portion of the fleet that we lost in the fire during Q3, which will be offset from a cash perspective in Q4 by insurance proceeds. And finally, this budget also includes CapEx associated with the completion of the next phase of our Power Solutions build-out to accelerate capacity for early Q1 deployment that has already sold into the market. For 2023, our estimated CapEx budget has been set at $350 million, and we believe we can sustain our CapEx of between 8% and 9% of annual revenue through the cycle. For 2023, this CapEx will be split roughly two thirds to sustain and transform our frac fleet and maintain market share. Roughly one third will target growth of our well site integration services, as well as to fund high-return internal projects that will not add horsepower to the market. We target less than a two year payback for these investments. For 2023, based on current estimates, we expect to see free cash flow step higher year-over-year, and we expect to deliver an estimated $500 million of free cash flow. We expect to return at least half of that free cash flow to shareholders, starting with the execution of our stock buyback program. The decisions we made during the prior down cycle, including counter cyclical investments to convert our fleet to natural gas, as well as the timely acquisition of Alamo positioned us to capitalize on what turn out to be a very strong 2022. As the cycle continues through 2023, we will continue to win through a laser focus on capital discipline, while strengthening the company and rewarding our shareholders. I'll now turn it back to Robert for closing remarks.
Robert Drummond: Thanks, Kenny. I want to close with a few key takeaways. First, we're confident in our outlook and I spent the last year or so focused on building a company that would be attractive to investors, customers and employees alike. We've managed industry-leading growth over this period on the way to establishing what we believe is a company that can generate leading free cash flow that will win through the full cycle.\ Customer demand remains strong, pricing traction remains favorable, and our already robust free cash flow is improving. We've done this while remaining conservative with our balance sheet and our support costs to be nimble and able to address high return opportunities that exist around our frac fleet. This business model also provides protection from unexpected interruptions that can occur to activity cycles. We believe we're in a great position to advance our strategy, no matter the direction the market takes with a strong risk reward profile. Second, we're committed to capital discipline and returning a sizable portion of our free cash flow to our shareholders. As we stated previously, our capital allocation strategy is guided by the following four principles. One, we expect to reach net debt zero in 2023 to protect against uncertainties. Two, we will invest in our core fleet and this transition to natural gas and electric power. Number three, we will systematically return cash to our shareholders; and four, we will retain some balance sheet flexibility to address high return opportunities that exists around our well completion operations. I hope that we've shown you today that we are prepared to deliver on this capital allocation plan and are positioned to deliver on our first $250 million cash return program through the end of 2023, while also reaching our financial priority of net debt zero. We believe delivering on this capital allocation framework will help investors regain trust in our industry and take advantage of this investment opportunity. And finally and perhaps most importantly, we believe great damage may be done to society if we continue to ignore how critical oil and gas is so many people around the world. Energy expansion not energy transition needs to be the goal. Conquering inflation will require higher oil and gas production over the long term. We are decades away from displacing fossil fuels as the primary energy source and we need to behave as such. U.S. shale is a prime candidate to help fill those global commodity needs. With that, we'd now like to open up the lines for Q&A.
Q - Arun Jayaram: Yeah. Good morning. I was wondering if we could - you could help us kind of walk through kind of an implied EBITDA outlook for 2023. And you've outlined $500 million of free cash flow assuming $350 million of CapEx of the 3 to 850 [ph] I think we have a little bit of cash tax in our model. But it seems like you're walking the street up to $9 million to $950 million in EBITDA. I was wondering if you could maybe give us some comments on that? And I have a couple of follow-ups.
Kenneth Pucheu: Yeah. Good morning, Arun. This is Kenny. So look, we have a lot of avenues of growth. We talked about integration. Our operations is performing very well, but it is challenged with the supply chain environment. So there's still some upside there. We got Wireline. We have Power Solutions that we're funding. So we do see a walk up in our profitability on a per fleet basis and overall adjusted EBITDA next year. And I think that's what gave us the confidence to go ahead and guide that $500 million of free cash flow.
Arun Jayaram: Okay. Got it. So - but the ballpark, I was talking about 9 to 950 seems reasonable based on those assumptions?
Kenneth Pucheu: Yes.
Arun Jayaram: Okay. Fair enough. The next kind of question I wanted to see is just on your available horsepower kind of next year. We're trying to - for our model kind of fine-tune how much of the - how much incremental horsepower do you expect to have next year? Obviously, some of the additional horsepower could be replacement. So just trying to understand is – you know, help us think about how many more fleets would you expect to be operating in '23 based on that CapEx estimate?
Robert Drummond: Good morning, Arun. Thank you for the question. Look, I would just say that what we've guided so far is that we'll have a new electric fleet to start activity in January of next year. And there's been a lot of - there is and has been a lot of flux in our fleet as we transition around to a new customer base going into next year and how are we balancing Simul frac with traditional zipper frac and how that fleet is allocated. So our fleet count is under a lot of flux without putting new horse - too much new horsepower in the system. The CapEx budget that we outlined has, as Kenny pointed out, two thirds of it allocated to sustaining and transitioning the fleet. And what that means really is the maintenance CapEx aspect of and it's pretty straightforward based on historically the way we've talked about it and we guided $4 million in the context of this prepared remarks. But the other dynamic is around transitioning to natural gas power over time, and I mean over a long time. We got started early with the transition to Tier 4 dual fuel and that's been serving us well. But when you look at it long term, it's going to be more and more electric as a percent of total. We guided the one I mentioned already, and I think that in this two thirds of our $350 million CapEx linked to sustaining and transitioning the fleet, there will be at least one more in that mix. And then deciding about whether or not that is a growth asset or a replacement in this transition aspect has to do with what goes on in the macro. Our intention is not to grow our organic market share and frac to sustain to our commitment that way. But we do want to have a fleet 10 years from now, that's probably 100% natural gas in some type of form, mostly electric. So as we add a fleet, if the market and the macro is not growing, we will get - we will retire the bottom end of our operating base, which is the highest maintenance CapEx required to keep it running at the current high - high-intensity frac times what we do today. So I'm glad I got to put that whole message out there. It's that while there is some of our CapEx allocated to new fleets like electric, that is equally likely to be a replacement as it is to be anything to do with growth because as we've guided before, we intend to stay in that 12% to 13% kind of organic market share range with our fleet. Long answer, I apologize, but I was kind of want to get that message out.
Arun Jayaram: Great, Robert. Thanks for the capital return framework good to see it from the OFS industry. Talk soon. Thanks.
Robert Drummond: Thank you, sir.
Kenneth Pucheu: Thank you.
Operator: Our next question comes from Stephen Gengaro from Stifel. Please go ahead with your question.
Stephen Gengaro: Thanks. And good morning, gentlemen.
Robert Drummond: Good morning.
Stephen Gengaro: Two things for me, if you don't mind. One is you talked a little bit, I think, on the call about getting back towards prior peak pricing on the pressure pumping side. Can you give us a sense for where we stand versus prior peaks?
Robert Drummond: Yes. Look, I would just say prior peak, you got to go back a lot of years, you know, '14, probably 2014 being that year. We've been more focused on calling back what we yielded since COVID. We mentioned in the prepared remarks that we still got 10% to 15% to go on net pricing to get back to where we were even pre-COVID. I don't think the industry really needs to have to go all the way back to 2014. We've gotten so much more efficient as a frac operation that profitability is - we're able to achieve excellent profitability you can already see with pricing that is much less than it was before. So from our customers' perspective, I think that's a good message. But 10% to 15% recapture from where we are as we sit here now is something that we're aiming to get done and that I hope that gives you some perspective. The real driver, and there's been a lot of printed material regarded what does the frac fleet look like? And how many new fleets are being added, and we spend a lot of time on that and have continued to do that regarding reactivations, as well as new builds. And when you project that all the way through next year, I mean, I think pretty much everybody has kind of got the same numbers roughly. But nobody has been taking into account the attrition aspect of it. And I can tell you right now that it's difficult to maintain the fleet with the current supply chain challenges related to spare parts around the core conventional all parts really of the frac supply chain. So all I'm saying is that the pricing outlook for 2023 is very, very good because supply and demand is still out of balance, and it's more demand and their supply and demand is growing faster than supply. And I want to make sure I got a point to reference that deck that we released last night where in the back of that deck, it talks a little bit about our view of the macro as it relates to that.
Stephen Gengaro: Thanks. And then the other thing, and we talked a little bit about this recently, I know when you talk about the integration and the $7 million of potential cash savings or cash improvement per fleet, where does that stand on sort of fleets that are deployed? I know they're in various stages of integration. But where do you stand on that whole process getting it implemented across the fleet? Are we in the early stages of that still? Or are we towards the middle? How should we think about that and the impact it has going forward?
Robert Drummond: Yeah, it's in the first half of it, for sure. I mean we still are building out supply capabilities on the Power Solutions side, for example. And a comment I made in the prepared remarks around last mile logistics, we deployed double what we had deployed on the CIG acquisition from the only - what has that been 45 days, 60 days or something like that. So that is moving the needle. And the wireline integration process with the Alamo acquisition is moving in the right direction as well. So we made significant progress, I'd say, during Q3, and we intend to be able to continue to do that, particularly as Power Solutions got a pretty good-sized surge OF capacity hitting the market early in Q1. So we like that progress. And our customers now that they're getting more of a taste of it, I mean, it's more of a pull than it used to be.
Stephen Gengaro: Great. Thank you for the details.
Robert Drummond: Yes, sir.
Operator: Our next question comes from Derek Podhaizer from Barclays. Please go ahead with your question.
Derek Podhaizer: Hey. Good morning, guys. I just want to expand more on your fourth...
Robert Drummond: Hi, Derek.
Derek Podhaizer: Morning. On your fourth quarter guide. So you pointed to in the release, you pointed to budget exhaustion, weather and holiday slowdowns. But just maybe on the first point of budget exhaustion, some of your peers dismissed that notion. Just if you can expand it. Are you seeing that? Or do you think customers are still too early to drop a fleet and not be able to get it back? Just some more thoughts around that budget exhaustion point?
Robert Drummond: I appreciate it. We tried to leave that out of our prepared remarks because we don't really see it that much either, but we do still have a huge component of concern, not huge, but the typical holiday shutdown no matter if it's guided or not by the customer, a lot of time that happens to an extension of a day on Thanksgiving or a day on Christmas and like that, not a giant concern. But as it relates to budget exhaustion, I'd say this is a - the customers understand that the supply and demand dynamic right now better than they did a few months ago and better - much better than they did last year at the same time. So we probably have two opportunities for every one opportunity where we might have - if a customer said I wanted to shut a fleet down for a couple of weeks, we can go put it to work two or three different places. But we can't come back until we finish whatever commitment we made to where we went. So that's a big deterrent. And I think it's the same story among all of our competitive base in that respect. So budget exhaustion might exist for a customer or two out there, but I would say they're probably going to try to adapt to trying to keep those fleets go on. It just makes sense for everybody. And what we like about that and the reason we thought a lot about it in time not to put that in our prepared remarks too much, is because when you have the restart, the learning curve after a shutdown, that slows the ramp up in Q1. And if you don't have that, then you're up the learning curve already as you go into the next year. So we like where we stand from that respect to getting a good run at start in Q1.
Derek Podhaizer: Got it. Okay. That's helpful. And then just moving back over to the shareholder returns. You've committed to the $250 million half of your free cash flow. I am thinking about returning the other half, if you don't find the right M&A deal or anything else to bolster the balance sheet what form could we see that in would be additional buybacks? Would it be initiating a fixed dividend or possibly a supplemental dividend like we saw out of one of your peers? Just maybe more color on that and what signals you need to see from the market to start talking about dividends, whether that's fixed or more like a special or supplement?
Robert Drummond: I appreciate that question. Look, we have been years open now for like nine months because we kind of knew where the free cash flow was going. We've been listening to our stakeholders of all types. And we thought about it long and hard before we put in the share buyback plan that we announced yesterday. But there's still a contingent of our shareholders that are interested in dividend and we take a serious [ph] about meeting our commitments. We don't want to put one in place and take it down any time in the future. But I think that we wanted to be clear about keeping some flexibility around that. Obviously, we feel like we've been stating a lot and demonstrating a lot, I think, that the stock is kind of undervalued versus historical metrics considering the free cash flow capabilities and buying back shares is a pretty easy decision in my view, as it's doing just right now. But as we get out in time a little bit more further down the road and we intend to kind of continue to do this 50% of free cash flow return dividends, I think, is very much on the table. As far as fixed versus variable, the advice in the interest of shareholders pretty much more focused on fixed more than variable as it relates to OFS. But let us continue to get smarter about that as we decide in the coming year or so.
Derek Podhaizer: Got it. Great. Thanks, Robert. Turn it back.
Robert Drummond: Thank you, Derek.
Operator: Our next question comes from Scott Gruber from Citigroup. Please go ahead with your question.
Scott Gruber: Yes, good morning. I actually wanted to circle back on Stephen's question about the $7 million of additive EBITDA potential. You guys mentioned kind of being in the first half of that addition. As you stand today, as you look at the CapEx budget, one third kind of dedicated to kind of further expansion of those product lines and services. Where do you think you would stand on that path to capturing $7 million of that into the EBITDA at the end of next year after this CapEx was spent?
Kenneth Pucheu: Look, I'll take that. I just want to clarify that the $5 million is EBITDA and $2 million is on CapEx. So the $7 million is basically from a cash standpoint. Look, I just - I wanted to call out the fact that if you look at our revenue growth over the last six quarters, a lot of that expansion has come from this integration, right? And also to point out that $7 million that we committed is actually the impact of frac and not necessarily the individual product service line profitability, right? So my point to your question on the additional investments in the integration, as we called out the $120 million or so that we've been invested in high-return projects, that's going to not only strengthen the integration profitability on a stand-alone basis, but it's also going to strengthen it from a frac perspective. I think like Robert said, we're probably about halfway there now. And I see us making a big step up towards that $7 million by the end of 2023.
Robert Drummond: And look, I would also add, Scott, that it will never be 100% because there's always flux in it, and we probably would never have 100% capacity for Power Solutions, for example, and maybe even less my logistics, but I think the needle is definitely moving to the right. And - but it is - because it ever gets across the entire 30-plus fleets, that's probably not in the cards.
Scott Gruber: Got you. Got you. And I appreciate that. And the reminder on the slip between EBITDA and CapEx. Kenny, just a couple more modeling questions. The fleet had the fire, when does that back up and running? And then from a cash tax perspective, how do we think about cash taxes in 2023?
Kenneth Pucheu: Sure. Look, the fire on the portion of the fleet, the horsepower is actually back into service here as we speak. We did have to go to multiple vendors to source that and we're very proud of the team for being able to put that together in a tight market in terms of supply. On cash taxes, based on our projections with some of our NOLs are going to be subject to the 80% limitation on taxable income. But what we're seeing today as an early estimate is about 4% to 5% of cash taxes next year. So we'll be utilizing a significant amount of our NOLs next year and even into the following year.
Scott Gruber: Okay. Great. Appreciate the color. Thank you.
Kenneth Pucheu: Thank you.
Operator: Our next question comes from Saurabh Pant from Bank of America. Please go ahead with your question.
Saurabh Pant: Hi, Robert and Kenny, good morning. I wanted to touch on.
Kenneth Pucheu: Good morning.
Saurabh Pant: Hi, good morning. I wanted to touch on, I think you said 8% to 9% of our revenues as through cycle of CapEx, right? I just want to understand how do you get to that number? Why is that the right number? And what do you get with spending that much in CapEx?
Kenneth Pucheu: Yeah. So look, let me just start answering your question by kind of giving you guidance principles around what we - how we think about CapEx. I'd say there's three or four things. One is that we need to maintain our fleet. It needs to be at least as good as it is at the end of the period as it was at the beginning, meaning I got to put maintenance CapEx in there. The second thing around it is that we look at the macro of U.S. land from a drilling and completion perspective, and we don't see a massive amount of growth, it will be a slow leak upward in out years, we think. So we're not going to try to organically grow our frac market share, not going to invest a lot of CapEx to do that. We just want to manage it so that we stay in the same organic status quo area. And - but we are going to transition the fleet to natural gas powered over time, and that's most likely electric, mostly and that's going to be a steady investment in the business that attrites [ph] the low-end conventional fleets a pure digital and replace it with electric over a long period of time. So you got to map that out for like 10 years. And that helps us retire the fleet, makes the fleet stronger over time and it makes operating costs for the fleet go down over time. And then right now, we're inundated with opportunities of internal projects that have great return profiles, less than two years. Around the integration theme that we've talked about in our strategy a lot, Power Solution is an example. We gave an example in the prepared remarks around blenders. There's iron of projects. There's a whole bunch of things out there that we can get a great return on, but we're limiting that to about a third of our CapEx [ph] But if we're going to get to a sustainable cash return program for our investors, we've got to have a framework around our CapEx. And that's the process we've been going through for the last three or four months. And I would say, when you get to 8% to 9% of revenue, looking at it from an old OFS guide that's managed historically compared to a wireline - open hole wireline franchise or something else, 8 to 9% of revenue for frac business is better than the market, I think. And you can go to do your research on that and see if you believe it or not, but I do. So I think that we can flex it downward in the total number as the market has cycles that are down - that are slower. But if we keep investing at that rate, the fleet will be much more healthy and much more low cost in the long run. So that's the logic to stay in that range. And if you look at - in that prepared material we put out, we kind of looked at what the consensus is of the peer group and 8% to 9% lower than the consensus of our sector. So that's a...
Saurabh Pant: Yeah. No, no, that context is very helpful. It does make sense, right? Are you going to keep investing in your fleet to make it healthy and then transition is obviously your valid point as well. Then one more quick follow-up, Robert, on the attrition logic. Obviously, there's a lot of debate on that, how much attrition would be, how much can we see it in an up cycle. How should we think about that? I think you said in your prepared remarks that attrition could be higher than normal, not below normal, which makes sense given the intensity of work that we are doing, right? But from an overall industry standpoint and from a next year standpoint, it sounds like we should not expect attrition or next year's fleet because you are taking care of your fleet, right? Is that the right way to look at it?
Robert Drummond: Look, I would say, I don't know if it is. It depends on the macro of supply and demand. I would just say this, whether we like it or not. The supply chain for supplying spare parts like in Q3, the quarter we just came out, I have never seen it that tight before. And the amount of money and effort it takes to get the parts you need to try to keep your fleet maintained to the standards I laid out in the previous comment, it's not possible right now. So you have attrition going on whether you want it or not. So when you look at that and you go, where am I going to make sure these parts go? It's going to be in the best part of your fleet and it's not going to be in the older part or the oldest part of the conventional diesel fleet. So that happens, you know, during this phase, we're in for the next at least 18 months, I think, no matter what you like. What you want to do. And that's why I think the fleet count in the U.S. is still only like 270 that you're operating right now, if that was different, it might be a little bit higher because you see the pace of which the increases occurred is slower than we even thought. So the point is, is that I think that attrition number is very variable to your point and to your work. And I would just say that I think is coming. And if you see us adding additional fleet beyond - you're not going to see us adding fleets beyond the market share guide that I gave. If we do, it will be - as we take out the - let the fleets are treated at the bottom end. Hope I answered it is. I know it was kind of...
Saurabh Pant: Right, right. No, it's not black and white, right? I know it's somewhere in the middle, but thanks for that answer Robert. I'll turn it back. Thank you.
Robert Drummond: Thank you.
Operator: Our next question comes from Dan Kutz from Morgan Stanley. Please go ahead with your question.
Dan Kutz: Hey, thanks. Good morning.
Robert Drummond: Good morning, Dan.
Dan Kutz: So I just wanted to ask if there's anything you can do to help us think through what you're seeing in terms of the kind of pricing or earnings delta between different tiers of free quality. Any trends that you're seeing between kind of diesel fleets, dual fuel, electric track. Just anything you can do to help us think through how that's trending would be great? Thanks.
Robert Drummond: Thanks for the question. Look, we rank our fleets monthly from that perspective, top to bottom. And right at the top of that ranking, the leading edge of the financial performance of a fleet is with the most newest Tier 4 dual fuel converted fleets, meaning driven by the natural gas aspect of it. And that's the reason you see the market transition and as I referred to, because that's the best part of the market to be in, it's supported by the fuel arbitrage. And the better that fleet operates efficiently wise, the more diesel you displace, making it even more profitable for both the operator and the service company. As those fleets are integrated, we see, you know, integrated it to well site, meaning where I'm providing wireline in the last mile logistics and the Power Solutions, I can control more of our own destiny as it relates to efficiency. So that is - that swing from the top of that stack to the bottom is always pretty broad. So we're constantly migrating the bottom of that fleet, two new opportunities to find a better mix of integration and interface with efficient customers. And as we go into next year, you're going to see our customer base turn over a lot for that reason. So big opportunity for frac is moving that bottom part of that curve toward the middle or towards the top through the pathway of not only price, but more and equally important maybe is the integration and the efficiency aspects. So it's pretty broad but largely supported by those components of value creation.
Dan Kutz: That's really helpful. Thanks, Robert. And then - so just - you've given us a lot on M&A and looking at the slide in your presentation where you kind of weighed out the opportunities that might be interesting or that you're looking at inorganic frac M&A technology, new adjacent market and efficiency innovations. Just wondering if you could help us think through how you would kind of rank which of those you see as the most attractive or where you're seeing the most opportunities and kind of what the hurdles would be that you look for other are there certain investments that you think that are higher strategic priorities? Or is kind of the payback period economics, math? Is that part of the calculus? Just wondering if you can expand on your M&A strategy? Thanks.
Robert Drummond: Yeah. I appreciate that question. It's very important when I think we've demonstrated that we're pretty good at acquisitions and integration, and we kind of like doing it because it does further our strategy and I think it's a lower risk and certainly doesn't add capacity to the market, the same way as organic growth does. The CIG acquisition, for example, was one that when you looked at our integration strategy, just it was a perfect fit, accelerated, didn't add capacity to the market, accelerate what we're already trying to do. But besides the four categories that we outlined in that slide, technology, efficiency, new adjacent type markets and inorganic frac. There's also business development aspect of the strategic opportunity to integrate. And that could be around entering a basin or entering a customer arena that's - that allows you to drive top line as well. So I would just say opportunities to move in the same direction that we're moving technically around low emission, gas-powered equipment technology that furthers the overall frac franchise and all the footprint that we've already got established around the completion well site is the core of our investment strategy. And small deals like CIG very easy, no risk and versus a big M&A merger between two equal size frac companies. Those are two different - entirely different things. And we've done both of those in the last 2.5 years. And I can't say like one better than the other. It's just depending on the value opportunity.
Dan Kutz: Thanks a lot. That's really helpful color. I'll turn it back.
Robert Drummond: Thank you, sir.
Operator: [Operator Instructions] Our next question comes from Sean Mitchell from Daniel Energy Partners. Please go ahead with your question.
Sean Mitchell: Good morning, guys. Can you hear me okay?
Robert Drummond: Hey, Sean. Good.
Sean Mitchell: Thanks for taking my question, fit me in here. Just you guys recently closed the CIG Logistics last mile deal. As you look at their solution versus those of CIG's peers, do you see - what do you see as kind of the key competitive advantages of their solution versus other services? I know you talked broadly earlier in the call about some of the key advantages. But what are the advantages versus maybe other services? And then the second part of the question would be, do you plan - is it reasonable for us to assume you will try to pair that CIG solution with all of your fleets?
Robert Drummond: Well, look, Sean, I'd say that we've got a good relationship with that community of service providers. We have not an intention to try to supply all of our fleets. We're working with - with many vendors that do a good job. However, I would say that the CIG acquisition that we highlighted some in the prepared remarks around handling really high volumes is very intriguing. And the fact that you can carry a bit more proppant sand per trip, how fast you can unload it and the ability of the technology to deploy straight into the blenders, how fast that occurs. And we've been extremely pleased with that. But it will also stand to be challenged in our CapEx deployment mix and have to compete with other high-value opportunities that we don't get all - we don't get to all of them on the list all the time. So I would just say that you're going to see a significant increase in deployment with us, but largely, that was the assets that was idle at the time of the acquisition. So I'd just say, in general, the way it handles volume has been the upside of it all and the differentiator. And at the end of the day, the environmental impact of having less trucks and less consumption of diesel and all those things fit right in our theme of trying to be ESG lean edge in the frac arena. Ken, do you have anything you want to add to that?
Kenneth Pucheu: No. I would just echo the sentiment around the additional volume. And we put it on one of our fastest fleets in the Permian Basin, and it was able to handle the volume, no issue. So we're happy with the technology.
Robert Drummond: Thanks for that question, Sean.
Sean Mitchell: Absolutely.
A - Robert Drummond: I appreciate everybody sticking with us a little bit long here. Pay remarks is a little bit long, but this particular session was a bit complicated with the new release of our shareholder return program. And look, I want to thank - thank you for interest in our company. I want to thank the NexTier team for the extra efforts and dedication to this strategy and we're taking good care of our customers. We're excited about 2023 and look forward to talking to you next quarter.
Operator: And ladies and gentlemen, with that, we'll conclude today's presentation and conference call. We thank you for joining. You may now disconnect your lines.